Operator: Thank you for joining us for Navios Maritime Partners First Quarter 2024 Earnings Conference Call. With us today from the company are Chairwoman and CEO, Ms. Angeliki Frangou; Chief Operating Officer, Mr. Stratos Desypris; and Chief Financial Officer, Ms. Eri Tsironi; and Vice Chairman, Mr. Ted Petrone.
 As a reminder, this conference call is being webcast. To access the webcast, please go to the Investors section of Navios Partners' website at www.navios-mlp.com. You'll see the webcasting link in the middle of the page, and a copy of the presentation referenced in today's earnings conference call will also be found there.
 Now I will review the safe harbor statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners' management, and are subject to risks and uncertainties which could cause actual results to differ materially from the forward-looking statements. Such risks are more fully discussed in Navios Partners' filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Navios Partners does not assume any obligation to update the information contained in this conference call.
 The agenda for today's call is as follows: First, Ms. Frangou will offer opening remarks. Next, Mr. Desypris will give an overview of Navios Partners' segment data. Next, Ms. Tsironi will give an overview on Navios Partners' financial results. Then Mr. Petrone will provide an industry overview. And lastly, we'll open the call to take questions.
 Now I turn the call over to Navios Partners' Chairwoman and CEO, Ms. Angeliki Frangou. Angeliki? 
Angeliki Frangou: Good morning to all of you joining us on today's call. I am pleased with the results for the first quarter of 2024. For the quarter, we reported revenue of $318.6 million and net income of $73.4 million. Earnings per common unit was $2.38.
 In the first quarter of 2024, regional conflicts, particularly in the Middle East, continue to affect transportation. This can be seen in the material reduction in transit through the Red Sea and the Suez Canal. In addition, the U.S. and European economies are managing inflationary pressures and are generally healthy, with Europe rebounding after a period of softness. As a result of these and other factors, this was Navios Partners' strongest first quarter financial performance ever.
 We remain cautious, as many of the factors driving this robust maritime environment can change quickly, [indiscernible] comfort-driven and efficiencies, clear and [indiscernible] suffers from a further wave of inflation. As usual, we continue to execute on our strategic initiatives by focusing on things that we can control, such as reducing leverage and modernizing our energy efficient fleet.
 I would also note that we continue to take long-term covers where available, as rates are around or exceeding long-term averages. For example, we recently chartered out a Capesize vessel for 2.9 years, almost 3 years, at the net daily rate of $28,500.
 Please turn to Slide 7. Navios Partners is a leading publicly-listed shipping company, diversified in 15 asset classes in 3 sectors. We have $318.4 million of cash in our balance sheet.
 For sales, year-to-date, we sold four vessels, generating $92.6 million gross sale proceeds, of which $9.8 million of sales was completed in the first quarter of 2024. $82.8 million of sales will be completed in the second quarter of 2024.
 For acquisitions, year-to-date, we spent $245.7 million acquiring six vessels. We acquired two newbuildings, scrubber-fitted aframax/LR2 tankers for $129.1 million. We also acquired four Japanese-built kamsarmaxes, previously chartered-in for $116.6 million.
 As for deliveries, we took delivery of three previously announced newbuilding vessels with employment. Two are 5,300 TEU containerships fixed for an average rate of $37,050 net per day for 5.2 years and one is an aframax/LR2 tanker fixed at $26,366 net per day for 5 years.
 We continue to add to a contract backlog. This quarter, we added $211.2 million in contracted revenue. Our operating cash flow potential remains strong. For the last 9 months 2024, we estimate to have $53.3 million of contracted revenue in excess of cash cost, while having 13,820 open or index days.
 Turn to Slide 8. On this slide, we provide an overview of our execution in terms of selected metrics we feel are important. As you can see, our fleet remains the same size today as it was in year-end 2022, with all of the purchases and sales effectively [ netted ] each other out. 
 Not accidentally, our fleet age remains about the same. We maximize energy efficiency by maintaining a fleet of [ youthly ] vessels with the latest technology, while we patiently await the development of more carbon-neutral technologies. In addition, as you can see from the vessel value, the steel value of our fleet has improved by about 13% from the end of 2023. Given the reason overall strength of the market, each segment has performed well, with the containership segment increasing the most. I would also note that these pay values do not any consideration to our contract backlog, which today is about $3.3 billion.
 With a stable and performing fleet, our fleet metrics are strong, and adjusted EBITDA is up 6% over the first quarter of 2023 and 30% over the first quarter of 2022. Since year-end 2022, we have increased our cash balance by 82% to $318 million. Our current net leverage is 34%, an improvement of 420 basis points over year-end 2023. Therefore, we are at the gliding path to our target net leverage range of 20%, 25%.
 I'll now turn the presentation over to Mr. Stratos Desypris, Navios Partners' Chief Operating Officer. Stratos? 
Efstratios Desypris: Thank you, Angeliki, and good morning, all. Please turn to Slide 9, which details our operating free cash flow potential for the remaining 9 months of 2024.
 We have fixed 67% of our available days at an average rate of $25,874 net per day. This contracted revenue exits our total cash expense by $53.3 million, and we also have 13,820 remaining open core index linked base that could provide potential additional free cash flow.
 On the right side of the slide, we provide our 42,112 available days by vessel type, so you can perform your own sensitivity analysis. However, whatever number used, we should develop substantial cash flow for the remaining 9 months of 2024.
 Please turn to Slide 10. We are always renewing the fleet so that we maintain a young profile. It is part of our strategy to reduce our carbon footprint by modernizing our fleet, benefiting from new technologies and [ ecovessels ] with [ really nice ] characteristics.
 During 2024, we had delivery of three vessels: two 5,300 TEU containerships, both chartered out for an average of 5.2 years at an average net daily rate of $37,050 net per day and one LR2/aframax vessel, which has been chartered out for 5 years at $26,366 net per day. The contracted revenue of the three vessels delivered amounts approximately $190 million. Following the deliveries, we have $1.6 billion remaining investment in 26 newbuilding vessels, delivering to our fleet through 2027.
 In containerships, we have nine vessels to be delivered, with a total acquisition price of approximately $672 million. We have mitigated the risks with long-term creditworthy charters, generating about $0.9 billion in revenue over a 6.8-year average charter duration.
 In the tanker space, we acquired 17 vessels, for a total price of approximately $950 million. We chartered out 11 of these vessels for an average period of 5 years, generating revenues of about $0.5 billion.
 We have also been opportunistically replacing older vessels. In 2024, we have sold four vessels with an average age of 17.7 years for $92.6 million. At the same time, we exercised the [ purchase ] of four [indiscernible] Japanese-built kamsarmaxes with an average age of 7.6 years for a total price of $116.6 million.
 Moving to Slide 11. We continue to secure long-term employment for our fleet. In 2024, we have created about $210 million additional contracted revenue. Approximately $130 million comes from our tanker fleet, about $41.5 million from [ three ] containerships and $40 million comes from our dry bulk fleet. Our total contracted revenue amounts to $3.3 billion. $1.2 billion relates to our tanker fleet, $0.4 billion relates to our dry bulk fleet and $1.7 billion relates to our containerships.
 Charters are extended through [ 2037 ], with a diverse group of quality counterparts. About 50% of our contracted revenue is expected to be [indiscernible] in the next [ 2.5 ] years. 
 I'll now pass the call to Eri Tsironi, our CFO, which will take you through the financial highlights. Eri? 
Erifili Tsironi: Thank you, Stratos, and good morning all. I will basically review on our audited financial results for the first quarter of 2024. The financial information is included in the press release and summarized in the slide presentation available on the company's website.
 Moving to the earnings highlights on Slide 12. Total revenue for the first quarter of 2024 increased by 3% to $319 million compared to $310 million for the same period in 2023. Available days decreased by 3% to 13,540 compared to 13,908 for the same quarter last year. Our combined fleet time charter equivalent rates increased by 3% to $21,514 per day compared to $20,811 per day for the same period in 2023.
 In terms of sector performance, our TCE rate for our dry bulk vessels improved by 29% to $14,209 per day compared to $10,998 per day for the same period last year. The time charter equivalent rate for our tankers was $28,087 per day, which is in line with Q1 2023 level, where the container TCE rate decreased by 15% to $29,838 per day.
 EBITDA for Q1 2024 and Q1 2023 was positively affected from gains from vessel sales equal to $2 million and $33 million, respectively. Adjusted EBITDA for Q1 2024 increased by $9 million to $164 million. Adjusted net income for Q1 2024, increased by 8% to $71 million compared to $66 million in Q1 2023. Adjusted earnings per common unit for Q1 '24 were $2.32.
 Turning to Slide 13. I will briefly discuss some key balance sheet data. As of March 31, 2024, cash and cash equivalents, including restricted cash and time deposits in excess of 3 months, were $318 million.
 During the first quarter of 2024, we paid $55 million net of related debt of predelivery installments under our newbuilding program, vessel acquisitions and other capitalized expenses. We sold one vessel for $10 million net, adding about $5 million cash after the repayment of the [indiscernible] debt.
 Long-term borrowings, including the current portion, net of deferred fees were $1.9 billion, which is line with Q4 2023 levels. Net debt to book capitalization decreased to 33.6%.
 Slide 14 highlights our debt profile. We continue to diversify our funding resources between bank debt and leasing structures, while 36% of our debt has fixed interest at an average rate of 5.6%. We also try to mitigate part of the increased interest rate costs, having reduced the average margin for our floating debt by approximately 40 basis points to 2.3% from 2.7% of 2022 year-end. Furthermore, our strong cash balances contributed $3.4 million of interest income. Our maturity profile is staggered, with no significant values [ due ] in [indiscernible] year.
 In terms of our newbuilding program, approximately 75% of our newbuilding financing is already concluded or in documentation phase at an average margin of 1.8% for floating rate debt.
 Turning to Slide 15, you can see our ESG initiatives. We continue to invest in new energy efficient vessels and reduce emissions through energy-saving devices and efficient vessel operations. In February 2024, Navios, in collaboration with Lloyd's Register, founded the global Maritime Emission Reduction Centre that will focus on optimizing the existing global fleet efficiency. Navios is a socially conscious group whose core values include diversity, inclusion and safety. We have strong corporate governance and clear code of ethics, while our Board is composed by majority independent directors.
 I now pass the call to Ted Petrone to take you through the industry section. Ted? 
Ted C. Petrone: Thank you, Eri. Please turn to Slide 17 for a view of the current trade disruptions. The Red Sea entrance leading to the Suez Canal, a strategic maritime transit point, continues to operate at restricted transit levels. Red Sea disruptions have caused a rerouting of shifts via the Cape of Good Hope, increasing costs and fund miles. Since the first half of December, transits have reduced by 59% for containers, 40% for tankers and 55% for dry bulk vessels. Panama Canal daily transit restrictions stand at about 33% below normal, with additional transits anticipated by month end.
 Please turn to Slide 19 for a review of the tanker industry. World GDP grew at [ 3.2% ] in '23, with similar growth expectation in '24, based on the IMF's April forecast. In spite of economic uncertainties and the crisis of the Ukraine and Red Sea, the IEA projects a 1.2 million barrel per day increase in world oil demand for 2024.
 Chinese crude imports continued at healthy levels, averaging at 11 million barrels per day in Q1. After a seasonally strong Q4 in 2023, rates remain firm on the back of rising demand and increasing refinery throughput. The OPEC plus crude export cuts have been mitigated by increased Atlantic to Far East exports, increasing ton miles. Additionally, seaborne crude and clean trading patterns, which were initially diverted to longer haul routes through the Russian sanctions, have once again been rerouted by the above-mentioned Red Sea disruptions. These even longer [ route ] hauls continue to increase ton miles, putting upward pressure on both costs and rates.
 Turning to Slide 20. As previously mentioned, both crude and product rates remain strong across the board, due to healthy supply and demand fundamentals and shifting trading patterns. [ Product ] tankers are also aided by healthy refinery margins and discounted Russian crude exported to the Far East, frequently returning to the [ Atlantic's ] clean product. Crude ton miles are expected to grow at 3.2% in 2024 and a further 3.6% in 2025. Similarly, product tanker ton miles are expected to grow 7% in '24 and additionally 0.4% in 2025. These percentages increases anticipates of continued Canal restrictions.
 Turning to Slide 21. VLCC net fleet growth is projected to be negative for both '24 and '25 at 0.8% negative and 1.8% negative, respectively. This decline can be partially attributed to owners hesitance to order expensive long-lived assets in light of macroeconomic uncertainty and engine technology concerns due to CO2 restrictions enforced since the beginning of this year. The current low order book is only 5.6% of the fleet or only 50 vessels, one of the lowest in 30 years. Vessels over 20 years of age, or about 17% of the total fleet, were 156 vessels, which is about 3x the order book.
 Turning to Slide 22. Projected product tanker net fleet growth is 1.5% for 2024 and 4.7% for 2025. The current product tanker order book is 14.3% of the fleet, and is approximately equal to the 14.5% of the fleet, which is 20 years of age or older. It concluded the tanker sector review, tanker sector across -- tanker rates across the board continue at historically healthy levels. The combination of below average global inventories, growth in oil demand and new longer training [ routes ] for both crude and products as well as one of the lowest order book in 3 decades and the IMO 2023 regulations, should provide for healthy tanker earnings going forward.
 Please turn to Slide 24 for a view of the dry bulk industry. Strong Atlantic exports of coal, iron, ore and grain continued in the year, with the BDI averaging [ 1,824 ] for Q1, an 80% increase over Q1 of 2023. This countercyclical strength led by the Capes listed the Cape average earnings to 24,286, the highest Q1 average since 2010. Dry bulk trade is expected to grow by 1.6% this year, enhanced by a 2.4% increase in ton miles, with most of the growth anticipated to come from additional Atlantic exports of the above-mentioned cargoes plus bauxite, the vast majority destined to China and Southeast Asia.
 Going forward, supply and demand fundamentals remain intact. Longer duration trades, the historical low order book, continuing Canal restrictions and tightening GHG emissions regulations remain positive factors, which are reflected in the S&P period and FFA markets.
 Turning to Slide 25. The current order book stands at 9.3% of the fleet, one of the lowest since the late 1990s. Net fleet growth for 2024 is expected to be only 2.9% and 2.4% in 2025, as owners remove [indiscernible] that will be uneconomic due to the IMO 2023 CO2 rules in force since the beginning of the year. That is over 20 years of age or about 9.9% of the total fleet, which compares favorably with the low order book.
 In concluding our dry bulk sector review, continuing demand for natural resources, restrictions in transit in both the Panama and Suez Canals, war and sanction-related longer haul trades, combined with the slowing pace of newbuilding deliveries, all support freight rates going forward.
 Please turn to Slide 27 for a review of the container industry. An expected strength in the trade flow, coupled with continued rerouting of vessels away from the Red Sea and around the Cape of Good Hope, increased ton miles, pushing the SCFI back up to [ 2,306 ] last week, the highest level outside the pandemic era. Upward pressure for time charter rates should remain for the duration of the Red Sea disruption. However, continuing record fleet growth should eventually modify these gains and reverse cross when the Middle East conflict settles.
 Although the trade is expected to grow by 4.1% in 2024 and 3% in 2025, newbuilding deliveries in 2024 and '25 will be equivalent to approximately 17% of the fleet, after record net fleet growth of 9% this year, followed by 4.9% in 2025. This should continue to put pressure on rates for some time.
 Turning to Slide 28. Net fleet growth is expected to be 9% for 2024 and a further 4.9% for 2025. The current order book stands at 20.7% against 11.9% of the fleet 20 years of age or older. About 73% of the order book is for 10,000 TEU vessels or larger.
 In concluding the container sector review, longer-term supply and demand fundamentals remain challenged due to economic and geopolitical uncertainties and an elevated order book. However, trade growth improvements, increasing ton miles and world GDP growth of 3.2% for 2024 provide a counterpoint to a challenging 2024.
 This concludes our presentation. I would now like to turn the call over to Angeliki for her final comments. Angeliki? 
Angeliki Frangou: This concludes our formal presentation. We open the call to questions. 
Operator: [Operator Instructions] We'll go now to Omar Nokta with Jefferies. 
Omar Nokta: It sounds like -- it looks like things are going quite nicely for Navios, with all three pillars of your business going well: tankers, dry bulk, containers all seem to be in decent shape. Does that change anything in terms of deploying capital or monetizing assets for you? Or is it more of the same, where we can just expect you to continue to fine-tune the fleet? 
Angeliki Frangou: Yes, we like [indiscernible]. Omar, basically, I mean, we are 4 months into the year. We are about 67%, 70% fixed. And we can say that basically as you can see also from Slide 7, we have $53 million revenues above cash, above our cash expenses. So that gives us a comfortable position. It gives us visibility. And we can see that this year will be very [indiscernible] or better than 2023.
 So this gives us ability to further implement our strategies. You have seen our cash building up, even though we have a lot of newbuilding payments and our leverage going down. Basically, on the other side, we have to mitigate the market risk. That's a big thing. And we are doing that, as you can see, constantly. 
Omar Nokta: Is there any kind of -- just in terms of what we're seeing in the market, it seems like there's plenty of opportunity. You've obviously been very active. Is there a segment or asset class that you would say stands out as compelling above the rest at this point, whether it's for new investments or potentially divestment? 
Angeliki Frangou: Listen, we are opportunistic on this. When we see values that make sense on all the vessels, we will sell. I mean we have relationships built on newbuildings are a little bit more difficult because values have moved up. So you need to make sure that the transaction, that you are -- the newbuilding that we are actually opening, which is basically a liability, unless you actually are able to fix it at an attractive return and a good residual value risk. This is the thing that we are constantly monitoring.
 With values of newbuildings going up, it's more difficult to actually execute on that strategy because you need to see rates going up, or you have to have certain relations.
 On the [ sports ] vessels, is about -- we see transactions, but it's all the good long-term charters. We see even dry picking up during longer durations at attractive rates. But it's always also influenced by the Red Sea, which -- let's not forget that the Red Sea can disappear at any moment, and that will be a good thing, and that will fundamentally change the rate environment we are living. 
Omar Nokta: Right. No, no, that's a good point. And maybe just one final one for me. You've had the stated goal now for some time. We're trying to get leverage down to that 20% to 25% level. I guess one question, it seems perhaps a bit achievable over the next maybe 12 to 18 months. So the question would be, is that something you also see as a realistic time period to get leverage that low? And then also, what -- have you thought about what happens to Navios once you achieve that goal? Does anything change strategically going forward? 
Angeliki Frangou: The goal to reach it is it may be about a year from today as we get the vessels into the water because of delever. Let's not forget that basically, on the leverage ratio, we do not count the backlog that we have. We have about 3.3 billion of contracted revenue that creates a good buffer and good visibility for the further years.
 And as you saw this year, we are already getting our new buildings into the water, which as we get them, we delever automatically. So this is a process that we will be working very -- a lot on the remaining of the year and the beginning of the next. And this is a goal, it's an end result. You are guiding to that direction, and we are also building the cash. 
Omar Nokta: And we have no additional questions standing by at this time. I'd like to turn the floor back over to Angeliki Frangou for any additional closing comments. 
Angeliki Frangou: Thank you. This completes our first quarter results. Thank you. 
Operator: Once again, ladies and gentlemen, that will conclude today's call. Thank you for your participation. You may disconnect at this time.